Massimo Reynaudo: Hello, everyone. Welcome to UPM Quarter 3 2025 Results Webcast. I'm Massimo Reynaudo. I'm the CEO of UPM. And here with me today is Tapio Korpeinen, the CFO. The third quarter brought some temporary clarity to the terms of the international trade, but significant uncertainty remained, and the consumer demand stayed subdued. Our businesses in Advanced Materials and in the Decarbonization Solutions segment improved their third quarter performance compared to the previous year. On the other hand, the Renewable Fibres, and Communication Paper businesses were impacted by the unusual volatility in their operating environment. In quarter 3, comparable EBIT was EUR 153 million, up 21% compared to the previous quarter, but down 47% compared to the last year's corresponding period. The EBIT margin was 6.7%. During the quarter, we continued to take decisive actions to further strengthen our competitiveness. Our focus has been and is on improving performance, cash flow generation and the strength of our balance sheet. I will come back and tell you more about these actions during the presentation. But first, let's look at the macroeconomic environment we operated in quarter 3. And let's look at Renewable Fibres to start with. As you may remember, the pulp market prices decreased during the peak of the trade uncertainty in quarter 2 and starting from China. In quarter 3, pulp sales prices remained low, impacting our quarter 3 earnings. As a positive sign though, during the quarter, the pulp demand normalized in China and hardwood pulp prices increased somewhat from the bottom. In Finland, wood costs reached their highest level in quarter 3 when then wood market prices started eventually to show the first signs of decline. Communication Paper markets remained weak in Europe and in North America. The demand in Europe in quarter 3 was 7% lower compared to 1 year before. In the U.S., the new import tariff levels were finally set during the quarter, bringing some clarity and allowing the customers to properly plan their needs again and for us, restoring the possibility to properly plan and optimize production and shipments. Having said that, the general uncertainty continued to weigh on the business sentiment and ultimately, on the level of the demand. Turning the page. In the advanced materials segment, the demand of labeling materials remained relatively resilient. In the adhesive materials, specifically, the demand was seasonally low, lower than quarter 2. But when we look at the full year base, the market continued to grow, even though some signs of a slowdown were visible in the U.S. The demand for plywood was stable, and I will tell you some more about this business shortly. In Decarbonization Solutions, the market situation in general improved. When it comes to the energy business, in fact, the electricity consumption in Finland continued to be robust, and the electricity prices increased from the comparison quarters. In the same way, the prices of renewable fuels continue to recover, supported also by an improving demand. At this point, I will hand it over to Tapio for some more analysis on our results.
Tapio Korpeinen: Thank you, Massimo. So let's start here with our results by the business area. Fibres and Communication Papers were the business areas that reported a lower EBIT compared to last year, whereas Adhesive Materials, Specialty Papers, Plywood, Energy and Biofuels, all improved their EBIT year-on-year. First, on Fibres. As Massimo said, pulp prices were very low in the third quarter, decreasing 11% sequentially from the second quarter or 23% from last year's third quarter. Price development resulted in a significantly lower EBIT than last year, and slightly lower EBIT compared to the second quarter. At the cycle low prices, Fibres South, the competitive pulp platform of ours in Uruguay, reported an EBIT of EUR 80 million, which is equal to an EBIT margin of 22%. Fibres North, that is the pulp and timber operations in Finland, reported an EBIT loss of EUR 37 million in the third quarter, during which the Kaukas pulp mill was down for maintenance and for extended production curtailment and the impact of this was approximately EUR 30 million on the quarter. This means that at cycle low pulp prices and peak level of wood costs, UPM Fibres North was slightly negative in EBIT and positive in EBITDA, excluding the Kaukas shutdown. Communication Papers deliveries were stable from the second quarter, but 13% lower than last year in the third quarter. The average paper price in euros decreased by 1% compared to the second quarter and 6% year-on-year. Fixed costs decreased in Communication Papers. EBIT decreased from last year, but improved slightly from the second quarter sequentially. Adhesive Materials and Specialty Papers achieved increased deliveries and lower costs compared to last year. Both increased their EBIT year-on-year and showed resilient performance from the previous quarter. Plywood reported solid results with normal production now and increased deliveries. Energy had a good quarter, benefiting from increased electricity market prices and from successful production optimization in the volatile electricity market. Our average sales price for electricity increased 17% from last year or 12% from the second quarter. And on this page, then you see our EBIT development by earnings driver. And as you can see here, the main headwind in the third quarter were the sales prices. On the left-hand side, lower sales prices impacted the third quarter results by about EUR 190 million compared with last year. Sales prices decreased most notably in Fibres and Communication Papers. Lower variable costs had a significantly smaller positive impact. Changes in delivery volumes were neutral on group level, while deliveries increased for Pulp, Adhesive Materials, Specialty Papers, Plywood and Biofuels, there was a decrease in deliveries in Communication Papers. Fixed costs increased mainly due to the maintenance shutdown at the Kaukas mill. On the right-hand side, sales prices had a negative impact also compared with the second quarter, mainly due to the low pulp prices. Variable costs decreased for most categories compared to the second quarter, but wood costs still increased, however, following the earlier wood market price development with the usual lag. Fixed costs decreased from the second quarter due to lower maintenance activity and also due to seasonal factors. Then our operating cash flow was EUR 218 million in the third quarter, and our net debt decreased by EUR 92 million from the second quarter and was EUR 3.218 billion in total at the end of the quarter. Net debt-to-EBITDA ratio was 2.36x. While we see our financial standing as solid, this is somewhat above our policy limit of 2x net debt to EBITDA. And therefore, obviously, we aim to bring the net debt-to-EBITDA back to below 2x level in a timely manner. Massimo will shortly discuss the various actions we are taking to improve our profitability. In addition, we are pursuing working capital release and improving our cash conversion, working capital efficiencies to support our cash flow. Our outlook is unchanged from the previous quarter. We expect our second half 2025 comparable EBIT to land in the range of EUR 425 million to EUR 650 million. Our fourth quarter performance is supported by the timing of the annual Energy refunds. In Communication Papers, the amount of refunds is likely to be similar or slightly smaller than last year. It is also likely that there would be a forest fair value increase in the fourth quarter, which could be of a similar magnitude or smaller than what we had last year. Fibres performance in the short term continues to be impacted by pulp prices. In the fourth quarter, we have actually already completed in the month of October, the planned maintenance shutdown at our Fray Bentos mill in Uruguay, which will have an impact on the quarter result of similar magnitude or scale as was the case in Kaukas, about EUR 30 million. In Advanced Materials businesses and Energy, we expect resilient performance to continue. And now I'll hand back over to Massimo for some comments on our actions and direction from here.
Massimo Reynaudo: Good. Thank you, Tapio. Well, we continue to take decisive actions to improve our competitiveness and performance, as I said earlier. Most of our businesses have a significant organic growth potential that can be captured with targeted limited and CapEx-efficient investments. That's what we will be looking into. But finally, or in parallel, we continue to develop a portfolio of world-class businesses. Let me illustrate now the most characterizing initiatives we are implementing segment by segment, and let's start with Communication Paper. In this business, efficient capacity utilization is critical. And in a weaker market, we plan to close down paper production at the Kaukas mill in Finland and at the Ettringen mill in Germany by the end of the year. Together, these two closures will reduce our paper capacity by 570,000 tonnes or 13% of our current capacity. This initiative will lead to a combined reduction in annual fixed cost of EUR 70 million. With these measures, we will maintain our competitiveness and the future performance. In October, we also sold the earlier closed down Plattling paper mill site in Germany, and this will contribute to Communication Paper cash flow in quarter 4. Let's move to UPM Fibres now. Tapio has anticipated it, but given the significance of the UPM Fibres business and the distinct characteristic of the business in Finland and in Uruguay, we have decided to provide some additional transparency here. So we introduce today the notion of Fibres South to refer to our Fibres platform in South America, and Fibres North, to refer to the Fibres platform in the Nordics. As a first step, today, we indicated the EBIT level for the two parts. Next, we will start providing additional financial information for the two parts on a regular basis starting in quarter 1 next year. But meanwhile, when it comes to Fibres South, 2025 is the first full year of production at nominal capacity for the Paso de los Toros pulp mill, and also the first full year of operating at full capacity for the supporting logistics network. The pulp prices are very low, as Tapio mentioned earlier. But despite that, Fibres South reported an EBIT of EUR 80 million during the quarter and a margin of 22%, which is indicative of the competitiveness of this platform despite the weak market conditions. For years on, improvements will continue. By 2027, the expanded plantation areas we have in Uruguay will increasingly reach harvesting maturity, enabling us to optimize the wood sourcing and the inbound logistics. Further, self-sufficiency will increase, and inbound transportation distance will decrease, therefore, reducing cost. To give it a scale, in the beginning of this year, 2025, we envisioned a cost reduction of some $25 to $30 per tonne compared to 2024 in Uruguay. We are well on track to achieve this this year. But we believe that, thanks to this further and ongoing optimization, we will be able to provide roughly a similar improvement by 2027, of course, all the rest remaining equal. Besides that, we will continue to pursue growth in a CapEx-efficient way through further debottlenecking. When it comes to the other platform and in Finland, Fibres North was in a slightly negative EBIT territory in quarter 3, excluding the Kaukas shutdown. Wood costs reached their highest level in the summer before starting to decrease. Pulpwood market prices on average decreased some 5% in quarter 3 compared to quarter 2. In this situation, we took measures to adjust the Finnish pulp operations to the market situation. We took 2 months of downtime at the Kaukas mill during quarter 3. And we will take 2 weeks of downtime at the Pietarsaari mill in quarter 4. These measures will allow us to optimize our wood sourcing and avoid the most expensive wood. The benefits of these actions will be fully visible in the P&L when the purchased wood volumes will be consumed, which means during quarter 4 or the early part of next year. Another significant action we implemented in this space is the long-term strategic partnership we agreed with Versowood, and that we've announced in September. Versowood is the largest private producer and processor of sawn timber in Finland. The deal is beneficial for both parties. For us, it will strengthen the supply of pulpwood and chips, and improve the cost efficiency of our wood sourcing. Moving to another segment. In Advanced Materials, as we have characterized it before, our performance has been resilient. During 2025, Adhesive Materials has reduced fixed cost and streamlined its product portfolio significantly. Earlier, we announced the closure of the Kaltenkirchen factory in Germany and the relocation of the production to lower-cost locations. In quarter 3, we announced plans to discontinue the production in Nancy, in France, in order to increase further production efficiencies and competitiveness. At the same time, and in line with the strategy communicated earlier on, we -- the business continues to seek focused growth in higher margin and higher growth areas. In this direction, go the investments announced in the U.S., in Malaysia and in Vietnam. In parallel, the business continues to build its positions on the graphic space following the recent acquisitions. When it comes to Specialty Papers, there two efficiency measures have been implemented, aimed to reducing costs in China, and protecting the competitiveness in that area. From a commercial standpoint, the business continued to develop solutions being paper-based and alternative to plastics for the growing segment of flexible packaging end users. And in Plywood, we initiated a strategic review to assess options for maximizing the long-term potential of the business. The review includes a range of alternative outcomes -- possible outcomes, including potential separation from UPM through a divestment, a partial demerger or an initial public offering. The aim is to determine the best path forward for the business and for the value creation for UPM shareholders. But let me spend a couple of minutes to tell you a bit more about this business. First of all, Plywood is a very good business. It has a strong market position in the mid- to high-end market segments where it operates in Europe. And in the liquid natural gas segment, it holds a market-leading position globally. The business success is built on a number of specific strengths: A competitive premium offering generated through or from 4 spruce mills and 3 birch mills, the top-tier quality of the products manufactured there; a strong and reliable customer base; a strong brand, WISA, extensively recognized in the industry; and unmatched service capabilities, thanks to 6 warehouse hubs and some more. Thanks to that, the Plywood business has successfully provided good profitability and cash flow in all the different economic cycles of the past. On the other hand -- and despite all of this and despite the fact the UPM Plywood business is the scale of a midsized company in Finland, it is the smallest of the UPM businesses. And as such, it competes for focus and resources with much larger businesses. For these reasons, we want to assess whether on a different setup, acting on a stand-alone base or being part of another entity, will enable even better results. Therefore, this is the rationale for the strategic review, and this review is expected to be conducted or concluded by the end of 2026. Finally, we come to the Decarbonization Solutions. And here, we have unique solutions, all offering our customers ways to decarbonize their businesses. In Energy, we have 12 terawatt hours of CO2-free electricity, which make us the second biggest producer in Finland, consisting of reliable baseload of nuclear power and flexible supply of hydropower. This mix allow us to maximize the value on a highly volatile weather-dependent electricity market. On the other dimension of growth there, we have the capability to supply CO2-free electricity to a market where the demand is growing due to the electrification of the industrial production, heating moving away from biomass use and numerous data center-related projects and road transportation. In Biofuels, our short-term focus has been on improving performance and getting it back to profit after a challenging 2024. Here, we have made good progresses this year. In terms of growth, we are planning CapEx-efficient debottlenecking at the Lappeenranta refinery. Simultaneously, we are proceeding with the qualification of process -- sorry, with the qualification of sustainable aviation fuels. Last but not least, the start-up of our groundbreaking biochemical refinery in Leuna, in Germany, is proceeding. It's -- in the first of its three core processes, we have successfully achieved stability after having started production during the summer, and the production levels are now on an industrial scale. The sale of the first commercial products, which are industrial sugars and lignin-based products are expected to start during quarter 4, followed by glycol sales in the first half of 2026. In line with earlier indications, full production and positive EBIT is expected during 2027. So -- and to sum up, the market environment during the third quarter has proved to be challenging. But in this environment, our differentiated business portfolio has ensured resilient performance. Our Advanced Materials and Decarbonization Solutions improved their performance compared to 1 year before. Fibres and Communication Papers were impacted by the unusual volatility in their business environment. Most of the businesses have a growth profile and significant growth potential that can be captured with targeted investment and limited extra CapEx needs. This includes but does not limit to the entry in the new promising biochemicals business. So while we work to capture this potential, we continue to work on actions to improve profitability, cash flow and the strength of our balance sheet. This ends the prepared part of the presentation, and we are ready for your questions.
Operator: [Operator Instructions] The next question comes from Ioannis Masvoulas from Morgan Stanley.
Ioannis Masvoulas: Two questions from my side. The first on UPM Fibres. You talked about the Nordic mills being EBIT negative in the quarter, even if we adjust for the Kaukas maintenance. Given this weak profitability and market backdrop, would you consider more drastic measures that could perhaps include permanent curtailments? Or are you looking to wait for a recovery in the cycle especially now that pulpwood costs have started to come down? And then the second question related to the above. Can you give us an indication on the tailwind you expect from the lower pulpwood prices in Q4 this year and Q1 next year? And if you can also remind us on earnings sensitivities around wood price changes, that would be much appreciated.
Massimo Reynaudo: Okay. Well, I'll pick the first part of your question, Ioannis, and leave the other part to Tapio. But let's say, as it was commented during the earlier part of this call, we had a negative EBIT in the quarter 3 in Finland. But there are a few elements to be considered there or three main elements. One is the impact of the maintenance shut, and then the additional shut we had on top of that. The other element is that wood prices were at their peak, and pulp prices were very low. Time will tell if it's a bottom, but they were surely very low. So there was a very specific coincidence of elements, all impacting the profitability. As we have commented a number of occasions before, our Finnish operations have always been profit positive so far. And well, time will tell in the future, but we run very efficient assets. And the actions we have taken during the quarter, namely prolonging the stop of the -- in Kaukas to, let's say, avoid to buy more expensive wood, but also to improve wood availability into the next quarter, is definitely going to be benefiting the performance going forward. The same way the agreement reached with Versowood will aim to improve on another of the critical elements about wood in Finland, which is availability. So as part of the deal, we will be providing Versowood logs and sawing capacity that is what they are interested to. We're going to be receiving more pulpwood and chips, which is what we are in demand of. So on the base of this, we are working to maintain and improve the profitability of the current platform. And the current platform has always been delivering, let's say, performance across the cycle. So on such base, any stop or discontinuation of capacity will just have a negative impact on results. So that's why that's the plan we have been working upon. Of course, then in the future -- situation will depend by the circumstances in the future, but we are working hard on the circumstances we control through what I said.
Tapio Korpeinen: Maybe if I'll comment on your sort of second question. So as Massimo already pointed out, we saw pulpwood prices peaking during the summer and notable drop in the market price taking place. Having said that, it's good to note that there is a certain sort of seasonality in the sort of market prices typically for wood in Finland. So it's perhaps early to directly sort of extrapolate too much from this sort of shorter-term movement here. But then again, I would say that against the backdrop of what is happening in the Nordic markets in general, it is perhaps an indication in a sense that we have seen the kind of a peak in the trend, so to speak. There is a lag given the sort of cycle in our sourcing of wood -- the mix of wood, including pulpwood that we need for our operations in Finland. So therefore, would not expect any material impact yet of these kinds of movements in the fourth quarter, nor really yet in the first quarter of any big way yet. Typically, there is about 6 months' time period before the sort of market price changes start to materialize in the cost of wood consumed in the pulp mills in a bigger way.
Ioannis Masvoulas: That's very clear. And sorry, just to follow up, anything you could provide on sensitivities for EBIT or EBITDA on, let's say, 10% change in wood prices?
Tapio Korpeinen: That sensitivity, we don't have.
Operator: The next question comes from Lewis Merrick from BNP Paribas.
Lewis Merrick: With the Leuna project concluding, do you expect CapEx to be lower in 2026? And can you give a rough indication of what you expect at this stage? I've just got one more follow-up.
Massimo Reynaudo: Yes, definitely, CapEx will be lower in 2026, maybe in 2027 as well. We have commented also in the past that after a big investment cycle, now it is the time to focus on extracting the value from these investments, whether it is Paso de los Toros or Leuna. So at this point in time, we do not have any other significant project that will require CapEx on a large scale for the next couple of years. Then when it comes to the CapEx needs for next year, we have not defined them yet. But just to give you a broad indication, our, let's say, maintenance CapEx level in normal condition is in the EUR 250 million per annum level. And then you can put a few tens of millions for potentially, let's say, efficiency improvement, margin enhancement initiatives on top of that. That would be broadly speaking, the scale going forward. But for more accurate indications, you need to wait, the beginning of next year.
Lewis Merrick: No, that's crystal clear. And just on bridging items into Q4 to sort of reach or surpass your H2 guidance. You mentioned the forestry rebounds similar to prior. Can you just put some numbers to that? And then similarly on the Energy refunds and any other sort of moving parts from Q3 into Q4?
Tapio Korpeinen: Well, if I take that, so as mentioned, basically, this forest value change for assets here in Finland, primarily then last year, we had a bit more than EUR 100 million. And as I said, we obviously then we'll see the exact figure as we sort of run the numbers during the remaining months of the year, remaining quarter. But anyway, at the scale or below what we had last year would be likely outcome from that. And well, Energy refunds, again, a bit similar, let's say, comparison there that we have had this Energy refunds in the fourth quarter of the Communication Papers as we did last year as well and this year, likely to land slightly below of the level of last year.
Lewis Merrick: And just any other items to call out?
Tapio Korpeinen: Nothing else other than I pointed out that we have the maintenance shutdown that was planned and actually has been completed as planned in our Fray Bentos mill in Uruguay, and that was done in the month of October now.
Operator: The next question comes from Linus Larsson from SEB.
Linus Larsson: Maybe a follow-up on the previous question on the Q4. Q3 bridge on Fibres specifically, what's the aggregate impact of maintenance and market-related downtime in the fourth compared to the third quarter? Is that pretty much the same? Is it easing? Or is it worsening in your opinion?
Tapio Korpeinen: Well, as I said, similar in a sense that the Fray Bentos shutdown is about, let's say, same scale, EUR 30 million as what we had from the Kaukas shutdown in the third quarter.
Linus Larsson: Sure. But if you add to that, the market-related downtime at Kaukas and [ Bentos ], respectively, is it pretty much the same, Q4 as in Q3 altogether?
Tapio Korpeinen: Nothing to add.
Linus Larsson: Okay. And then moving on to Biofuels. I didn't see you disclosing the split of other operations. Maybe you did, and I missed it. But could you maybe help us pinpointing Biofuels EBIT in the third quarter? And maybe if you have any guidance on the fourth quarter as to where Biofuels may end up?
Tapio Korpeinen: Well, let's say, what we did point out when commenting on the second quarter result was that we had a breakeven result. As far as Biofuels is concerned during the quarter, from our own kind of actions from the cost and efficiency volumes side and, let's say, modest support from the market, and we continued at the same level of profitability now in the third quarter, breakeven. And let's say, again, working on our own efficiencies and, let's say, as you perhaps have seen market prices recovering in the biofuels market and, let's say, short-term sort of market situation tightening. So we would expect some support from there. Obviously, then not happy at that level as such. So look to improve further into next year. And again, one factor that will impact demand, especially for the kind of advanced biofuels that we are producing is the country-level implementation of the RED III directive.
Linus Larsson: Excellent. That's very helpful. And then maybe one final question, and we touched upon it already in the call. But when it comes to Fibres operations in Finland, you made a loss of EUR 37 million. To what extent did you have support, help included in that negative EUR 37 million from positive revaluations?
Tapio Korpeinen: There are no revaluations in the Fibres North because as perhaps you remember, the Finnish forests are included in our other segment in terms of our reporting segments.
Operator: The next question comes from Robin Santavirta from DNB Carnegie.
Robin Santavirta: Two a bit more technical questions from me. First of all, in terms of the revaluation of the Finnish forest assets, which you booked in the other operations, it looks like they will be quite sizable again this year. I guess the gross impact will be more than EUR 150 million on an annual basis in 2025. And I understand there's three components here: there's interest rates, there's net growth and then the price of wood raw material. And the key point now probably is the higher wood raw material prices that is supporting materially the adjusted EBIT and the forest revaluation '25 as it did in '24. And going into '26, a bit color would be appreciated to understand how you look at the forest revaluation of the Finnish because now we have the pricing coming down quite clearly. So could the -- should we expect the revaluation gain to be much smaller? A bit smaller? Same level? Any color on that would be appreciated.
Tapio Korpeinen: Yes. Well, of course, let's say, time will tell. And of course, also you have to kind of remember in a sense that on one hand, the result and the value of our forest has been supported by the price increase here in Finland. But obviously, it has been a headwind for our pulp mills and sawmills here in Finland. Now if that kind of tide turns, it will work the other way around. So perhaps then the result, obviously, because everything is done in a market price basis for the forest operation, then will be impacted if market price is lower for wood, but then it's for the benefit of the sawmills and the pulp mills here in Finland. So obviously, that's how it works in our business model. On the price impact, of course, again, it is correct to consider in a sense what is happening in the wood market in the short term when setting the price expectations in the valuation model. But then, of course, what we have in there, to begin with, is a sort of management view on kind of the longer-term trend since we are running the valuation model for multiple decades here. So in that sense, there is a kind of level change as such, but the assumption in terms of what is the direction of sort of wood price in our model then otherwise, is kind of assessed separately, meaning that if wood price goes up, it doesn't mean that we assume that it goes up from here to eternity and vice versa. So there will be some change, obviously, then if this trend sort of starts to go to the other direction, but perhaps not as dramatic as one might think. Then as you said, the sort of other factors, the growth in the forest vis-a-vis harvest levels, interest rates will sort of play a role as well and early to sort of anticipate anything there.
Robin Santavirta: Yes, the reason -- I obviously understand that what you lose there on price of wood, you gain in the industrial operations that I appreciate. It's just that it's quite sizable, more than EUR 150 million positive. And then if it would only be, say, EUR 50 million positive or EUR 25 million positive in 2026, it's a quite big delta. So -- but perhaps we get a bit more color as well when you guide then for next year. And the other question I have is related to Leuna. And again, a technical question. So I'm just -- I keep pushing on the depreciation estimate because it's still EUR 1 billion investment, so quite sizable depreciation. I can only see in the other segments, low depreciations, even lower than last year. So is this something that we should expect now as of Q4? Or is it as of next year? And any color on the size of those?
Tapio Korpeinen: Well, basically, when we start -- I mean, whether it's this plant or pulp or otherwise, when we have finished an investment project, we start commissioning and eventually, when we start to have deliveries to customers, then the depreciation starts. So not meaningful this year yet, but we will then start in the beginning of next year when -- now the customer deliveries are starting to take place.
Robin Santavirta: Tapio, can I just try? Is it EUR 40 million a year or something in lines of that -- the line depreciation?
Tapio Korpeinen: In that scale, yes.
Operator: The next question comes from Andreas Castanos Möller from Berenberg.
Andreas Möller: My first question is on the strategic partnership with Versowood. It sounds very promising because you're putting together the largest pulpwood consumer with one of the largest solo consumers. So financially, what do you expect to get in terms of synergies? What do you think is a reasonable assumption here? And then also operationally, can you help me visualize how and why the synergies are generated?
Massimo Reynaudo: Well, I risk here to repeat myself a little bit. But when it comes to the financials, we don't disclose them. But when it comes to how the benefits will materialize, is in this exchange of things which, one is in excess, and the other is in need of. It's what I was saying before, thanks to this deal, which, by the way, is subject to merger control authorities and still needs approval just to line things properly down. But should that happen, we will be having access to more wood chips and pulpwood. And to remember the importance of that, we have quoted it a number of times, the situation in Finland to be made challenging for pulp making. Because of wood prices, but also prices don't solve the problem of insufficient wood available. So through this deal, we will have more access to something which is key and critical for our operations. So that is the value that comes from this deal. Yes. So beyond the numbers, I don't know if I have answered your question.
Andreas Möller: It is helpful. Can I ask a couple of more clarifications, please? Did you say that the time for the end of the review -- strategic review for plywood was '26, end of '26. Did I get that right? And also...
Massimo Reynaudo: Yes.
Andreas Möller: Okay, clear. And then the other one is for Leuna, right? You mentioned industrial sugars. And I was wondering if industrial sugars is a product that you would aim to sell in the future? Or this is something that you're just selling temporarily as you are not finalized the whole process to generate [ alcohols ]?
Massimo Reynaudo: Yes. It's a very good question, and it's a very good observation as well. This is most of an intermediate product that we are getting, which has some market value. But the full value capture, imagine in the business case, will come when the plant will be in full operation, and these intermediate products will be turned into [ Finnish ] products being either functional fillers or glycols or products in this family. So there is some value in this, but the full value capture -- and we'll start to capture it, to be clear, by the end of this year, but the full value capture will start with the plant in full operation.
Operator: The next question comes from Cole Hathorn from Jefferies.
Cole Hathorn: I'd just like to start with Communication Paper and Specialty Paper. I'd just like to understand the key deltas into 2026. If you were to talk about what could be the positives into 2026, could you talk me through the moving parts of how you see it? If I think about Communication Papers, it's the EUR 70 million fixed cost savings from capacity closures. In Specialty Paper, I'm just wondering how you see that market considering Asia fine paper is quite challenging. And the release liner and labels businesses, there seems to be some smaller players out there are challenging. So I'm just wondering what are the moving parts into 2026 that you see?
Massimo Reynaudo: Okay. Well, let me try to answer the question, but let me separate it in two because the two businesses are pretty different profiles. So if we start with Communication Paper first. Well, one element is represented by the market. And we don't know what will be the level of the market demand next year. Nobody knows it. But in this market demand has declined for the last 20 years. So we can expect the decline continuing next year. That, as a negative, if you want. At the same time, the market this year or in the first part of this year has been heavily disrupted by the uncertainty that came as a consequence of the trade war. Let's not forget, there's been significant uncertainty, for example, in the U.S. around whether there were tariffs, who was hit by the tariffs, the amount of the tariffs, when they would apply and so on. That has made extremely difficult for the players there to proper plan ahead and that had impact across the entire value chain. And last but not least, again, in quarter 2, the demand of certain type of grades in the U.S. dropped down significantly during the period of the strongest sanctions between U.S. and China because imports from China were basically stopped and catalogs were not printed and so on and so forth. So what I'm just trying to say is that if we want to compare 2026 to 2025, which I believe is what you are kind of trying to get some color about, it's probably fair to assume a demand decline, but it's also probably fair to assume, at least if things stay as they are right now, some stabilization of the flow of the products, which will allow the industry to operate in a better way because operational efficiency here is important. This is about talking about the market. When we talk about ourselves, yes, you pointed it up. The actions we are taking and reducing capacity significantly, 13% of our capacity will deliver direct fixed cost, saving improvement, but also indirect benefit from improved operating rate. So -- so yes, those are some elements to consider for Com Paper. When it comes to Specialty Paper, yes, the situation in China is -- I wouldn't know how to characterize it, but surely, the demand for those products not being as strong leads to some pressure. As for how this will play into next year, it is way too soon to try to extrapolate. A lot will depend by the downstream of businesses and ultimately, how consumer demand will evolve. It has been pretty muted during quarter 3, as we have indicated. But let's see and maybe let's also see in quarter 4, which is typically a seasonality quarter for that business that will give us a better sense and feel about the trend we will enter into next year with.
Cole Hathorn: And then just on the Specialty, kind of the release liners and the label side, there have been some smaller players that have been under pressure. I'm just wondering how your business is positioned into 2026 as a larger producer.
Massimo Reynaudo: Well, I think I commented on the fact of the muted demand during quarter 3, and that clearly create a pressure, then the rest depends on your competitiveness. We run large assets, well maintained. And I would say that also through the results that you can see, we have been performing pretty well in a challenging market. So then 2026, we will see later on. But in the current situation, I think we are holding up pretty well with the pressure.
Cole Hathorn: And then just one final clarification. You mentioned some reduction in the Uruguay platform on the cost as you continue to ramp up the efficiencies. I think you gave a number. I just misheard that earlier. I wonder if you could just repeat that.
Massimo Reynaudo: Sure, sure. I'll give you the precise number, but basically, the scale I gave for the savings is still to be captured. Let's say, directionally in the next couple of years, is probably USD 25 million to USD 30 million -- sorry, sorry, USD 25 to USD 30 per tonne. Okay. USD 25 to USD 30 per tonne, which is the same scale of the savings we are capturing this year, 2025 versus 2024.
Operator: The next question comes from Joni Sandvall from Nordea.
Joni Sandvall: A couple of quick questions. Tapio, you mentioned the working capital release, or you are aiming to release working capital. So what should we expect in Q4? And does Leuna ramp-up has any impact here?
Tapio Korpeinen: Well, yes, of course, the ramp-up of new production does have some impact or has had some impact, I would say, already during the year as we have been preparing. But still, let's say, typically, we do release cash from working capital at the end of the year. Don't have a number to give guidance on that, but I would expect that we will see that this year kind of seasonally as well. And on top of that, we are obviously looking to improve our efficiencies otherwise.
Joni Sandvall: Okay. And second question relates to Biofuels. It has been some while when you put the SAF application in. So can you give any update on that when you are expecting to receive the approval for the SAF?
Massimo Reynaudo: Well, actually, it's a long process, and it's not under our control. That is what makes difficult to make a prediction about that. But we filed it last year. So let's see what happens next year. I wouldn't go any further than that because of what I said, it's outside our control.
Joni Sandvall: Okay. Okay. But your product has been tested, so any early indications of those?
Massimo Reynaudo: Absolutely, absolutely. It has been tested, has been even utilized in a pilot case, not blended, but pure. So we have all the confidence that the product will go through the process. But then there are a number of, I don't know what to call them, administrative steps that need to go through before that the process is concluded. But we -- you can imagine this is a priority for us. This will open up beside the biofuel or fuel for ground transportation will open up the sustainable aviation market, which is not only getting bigger in the future, but will give further opportunity to diversify and maximize profitability. So it's surely something which we treat with the highest priority. Okay. Very good. We have also used the time planned for this call. So I take the opportunity again to thank everybody for your participation and in the case for your questions. And see you sometime during the next quarterly call, if not before. Cheers, have a nice day.